Operator: Good morning. My name is Jacklyn and I will be your conference operator today. At this time, I would like to welcome everyone to Canada Goose's First Quarter 2020 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Patrick Bourke, Senior Director, Investor Relations. You may begin your conference.
Patrick Bourke: Thank you. Good morning and thank you for joining us today. With me are Dani Reiss, President and CEO; and Jonathan Sinclair, EVP and CFO. For today's call, Dani will begin with highlights of our first quarter performance and then update you on the progress against our key priorities. Following this, Jonathan will provide details on our financial results. After our prepared remarks, we will take your questions. Before we begin, I'd like to inform you that this call, including the Q&A portion, includes forward-looking statements. Each forward-looking statement made on this call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Certain material factors and assumptions were considered and applied in making forward-looking statements. Additional information regarding these forward-looking statements factors and assumptions appears under the heading Cautionary Note Regarding Forward-looking Statements and Risk Factors in our Annual Report on Form 20-F which is filed with the SEC and the Canadian securities regulatory authorities and is also available on our Investor Relations website at canadagoose.com as well as the earnings press release that we furnished today. The forward-looking statements made on this call speak only as of today and we undertake no obligation to update or revise any of these statements. During the conference call, in order to provide greater transparency regarding Canada Goose's operating performance, we may refer to certain non-IFRS financial measures that involve adjustments to IFRS results. Any non-IFRS financial measures presented should not be considered an alternative to financial measures required by IFRS and are unlikely to be comparable to non-IFRS measures provided by other companies. Any non-IFRS measures referenced on this call are reconciled to the most directly comparable IFRS measures in the table at the end of our earnings press release issued this morning which is available in the Investor Relations section of our website. With that, I will turn the call over to Dani.
Dani Reiss: Thanks Patrick and good morning everyone. Fiscal 2020 is off to a great start. Our operational execution was outstanding and we continue to see strong demand globally from both consumers and from wholesale partners. We're moving the needle on a number of important strategic initiatives and here are some of the things that I am most excited about. On the supply side, our continued investment in building production capacity including our recently opened facility in Montreal are paying dividend giving us greater flexibility to ship wholesale orders earlier in the year and to put ourselves in the best possible position going into fall/winter. From a sales perspective, we grew significantly in all geographies compared to Q1 last year at levels that met or exceeded our expectations relative to the quarterly ebbs and flows of our business in each market. Starting with North America. In Canada revenue increased by 40.4% with Vancouver and Montreal putting up best-in-class performances in their inaugural first quarter. Our growth in the U.S. was 15.8% which we feel very good about as wholesale shipments were comparable to last year and we added a smaller local market in Short Hills, New Jersey. We also enjoyed the strong productivity online and in our existing stores which was in line with our other markets. In Europe and rest of world, we grew by 79.7% with earlier wholesale shipments making a significant impact. In Asia, our topline nearly tripled to $18.1 million from $6.6 million with wholesale growth in Japan and direct-to-consumer operations in Greater China being the two primary drivers. Building on the momentum of our spring collection performance in Q4, we reached a major milestone in the evolution of our offer of strong contributions from lightweight down, knitwear, and rainwear. Non-parka DTC revenue nearly doubled relative to Q1 last year rising to one-third of channel sales in the quarter for the first time ever. Our expansion across categories and climates with best-in-class products which is undeniably authentic Canada Goose is clearly working. I'm proud and excited about this because there's a shift in perception of our brand and a step change in the year-round commercial relevance. We set out to do this. We're making great progress and we have a lot of runway left ahead of us. Together, these factors drove exceptional growth with total revenue increasing by 59.1% to $71.1 million compared to Q1 last year. To have such a commercially vibrant business at this time of the year is something that we have worked very hard to achieve and we're very proud of that. Looking at the result by channel, starting with wholesale, our revenue increased by 68.8% to $36.3 million. As I mentioned earlier, this was driven primarily by earlier shipment timing in Europe and Asia. Last year, we prioritized strategically shifting our North American wholesale calendar to the left. This year, we were able to do the same in Europe and Asia on which Japan is particularly relevant. The mix of styles and fits in these markets is very different. We were able to accommodate the added complexity without compromising cost efficiency or our positioning through the remainder of the year. This is grounded in our unique unit operating model. We're the largest manufacturer of down jackets in Canada by a very wide margin and we are rapidly scaling that capacity. As a result, flexibility around what we make and when we ship it is growing. This has given us the ability to better position our partners going into their peak selling seasons. While on the topic, I know there's been a lot of questions around how we manage inventory and I want to shed some light on that. As a manufacturer, we have a very different approach relative to other businesses that you may typically look at. There are two distinct elements to our inventory position, finished goods for delivery and manufacturing. They do not have the same cadence and they should be looked at separately. Commercially, we offer a selective allocation model at full price and we're not afraid of being sold out. At the same time, in manufacturing, we strategically build inventory ahead of future growth with a high degree of confidence. This is supported by a higher proportion of continuative core product and the forward-looking visibility that our order book provides. Again, because of this inventory buildup of this nature show up on our balance sheet much earlier than they do for companies who outsource their manufacturing. That means, they typically don't and shouldn't line up with our quarterly sales trends. To highlight the point, we are exactly where we want to be with the size and composition of our position at this stage of the year. Circling back to the wholesale demand strength we're seeing internationally, Japan was a standout performer and a key driver of our growth in Asia. In terms of both market size and influence, it is an integral part of the regional industry landscape. In the early days, it was one of the first international markets that I brought Canada Goose to. And from those humble beginnings approximately 20 or so years ago, they've grown into one of our most strategically important and economically significant markets. We are building on the long-standing strength of our business in both distribution and products. In market, we are taking our presentation and experiential storytelling elements to the next level. And like in other geographies, we are seeing great momentum in non-parka categories. This includes a number of products and styles developed specifically with Japan in mind, which is an important trendsetter market internationally. Moving to the DTC channel. Revenue increased by 50% to $34.8 million compared to Q1 last year. In addition to the strong non-parka contribution I mentioned earlier, which rose to one-third of total revenue, we also saw strong out-of-season demand for our fall and winter sales. At a time of year, when the only way that most outerwear brands can get attention is through discount promotions and clearance sales, we had great engagement from fans looking to get ahead of the coming season. To add some color to this, in one weekend in June, we sold an entire drop of 1,800 highly sought-after white Expedition parkas through our own retail network. As part of this product event, we activated a global digital Basecamp community with an invite-only preview. This was a powerful accelerator of in-store traffic and conversion, resulting in 70% of the total allocation being presold. We also had numerous examples of customers out of country on vacation, electronically transferring funds to their local store sight unseen to secure one of the sought-after Expeditions. Selling out of heavy-duty winter parka -- of a heavy-duty winter parka in a single summer weekend is the ultimate expression of pent-up demand. Greater China was also a real difference maker for our growth in DTC. Building on the success of our first two retail stores and Tmall last week, we opened the doors to our new store in Shenyang in Northeast China, located in the premier MixC shopping mall. This city is one of the coldest places in Mainland China during the winter. And not surprisingly, our decision to open there was well-informed by local demand online. Despite the fact that we had a soft opening and that it was over 20 degrees Celsius in the middle of August, the store has had an exceptional start. This is yet another example of the exceptional engagement and brand affinity that we're seeing from consumers in China. From building our original team to commercially launching DTC operations in under one year, we've hit the ground running and we know that we have incredible white space ahead of us. Lastly, we have also made real progress on our major long-term initiative on product development. Earlier this week, we announced the appointment of Woody Blackford, who will join us later this year to lead our global design and merchandising organization. This is a foundational next step in the development of new categories, including a Canada Goose footwear offering. Serving most recently as the VP of Global Design and Innovation at Columbia Sportswear Company, Woody is an innovator at heart with deep sector experience and an extensive track record in driving the commercialization of new product categories. Cold-weather footwear today looks a lot like parkas did 20 years ago. We have a massive opportunity to define and develop this market in a way that no other brand can. There is still a lot of strategic and commercial work to be done and we won't compromise quality for speed. However, adding Woody to the organization and the expertise that we already have from Baffin are important parts of the puzzle to accelerate our journey. As a globally recognized industry leader and a Canadian coming home, Woody is an important addition to our team and I'm really excited to be working with him. As a brand that now has true year-round relevance the commercial pulse in our business has never been stronger in what we used to call our off-season. We have great momentum as we transition into the fall/winter season and we're on track to deliver another strong year. With that, I will turn it over to Jonathan who will go over our financial results with you in more detail.
Jonathan Sinclair: Thanks, Dani. Good morning, everyone and thanks for joining us. As you just heard, we started the year on a high in our smallest quarter. We were able to fully satisfy partner requests for earlier shipments and an exceptional in-season demand all while putting ourselves in the best possible position for the upcoming fall/winter season. This is a direct result of the scalability and flexibility of our in-house manufacturing and that's foundational to the power of our unique operating model. With that backdrop as a starting point, I'm going to walk you through our numbers for the quarter. As usual please remember that all the figures quoted are in Canadian dollars. Turning to revenue. Revenue grew by 59.1% to $71.1 million or 58.6% on a constant currency basis. Across all channels, geographies and products the diversity of our growth in the quarter was remarkable. Starting with wholesale. Revenue grew 68.8% to $36.3 million. Now that's obviously well above our expectations for annual wholesale growth. In response to stronger order book and customer requests, we were able to ship a greater proportion of our order book earlier. In our smallest revenue quarter of the year, timing had an outsized impact on our growth. Equally higher order values and the incremental contribution of Baffin were also positive contributors. DTC revenue grew 50% to $34.8 million. We continued with strong productivity from our established retail stores and e-commerce market and our five new retail stores also had great quarters in line with the new adds in comparable markets in previous years. We also experienced this with Tmall. Our unique ability to activate consumers and drive traffic for highly sought-after fall/winter product out of season together with the rising contributions of lightweight down knitwear and rainwear is a real testament to the year-round strength of our DTC business. As Dani mentioned non-parka revenue nearly doubled to roughly one-third of total channel revenue. That's a great strategic milestone in the evolution of our offer. Moving on to geography. We are very pleased to have grown significantly in all markets. The increased flexibility shifted timing in Europe and Asia to the left which we addressed last year in North America. Our international customers have wanted an earlier flow of goods at this time of year and it's great to be in a position where we can satisfy that efficiently without compromising on the commercial objectives. As a result of this shift, the growth rates by region where we have broken out Asia for the first time are not apples-to-apples. So let's start with Asia. Here our top-line nearly tripled at $18.1 million. A few international distributors where the Japan market is particularly relevant are concentrated in this region. In the prior year, their initial fall/winter shipments occurred largely during Q2 and the shift towards Q1 was the largest single contributor to growth. The addition of DTC operations in Greater China through a revenue base which is otherwise almost entirely wholesale also had a significant impact. In Europe and the rest of world, which is another wholesale-centric market revenue growth was 79.7%, with a stronger order book and earlier timing again being important drivers. In North America growth in Canada was 40.4% while the U.S. came in at 15.8%. The growth rate in the U.S. reflects a comparable level of shipments to last year and one additional store in Short Hills, New Jersey compared to two additional stores in Vancouver and Montréal in Canada. Now turning to gross margins. Consolidated gross margin was 57.5%. This reflects a greater proportion of wholesale revenue compared to last year and within that significant changes in the wholesale customer mix. Also gross margin was actually better than expected at 41%. There was a shift in distributor shipments which have lower margins into the first quarter from the second quarter last year. Within each category of customers, wholesale gross margins were comparable to last year. Also operating income was $5 million and that represents an operating margin of 13.8%. The gross margin shift just described was fully offset by positive operating leverage with lower channel SG&A as a percentage of revenue. DTC gross margin was 74.7% and that reflects a greater proportion of non-parka revenue. To achieve a gross margin at this level alongside such a substantial new product revenue, it's frankly a great outcome. The tailwinds that we get in our core from pricing and efficiencies, fund measured investments and product expansions when margins are somewhat low. We also concentrate in newness in DTC, where we can best tell the story and earn full retail margins. As a result, the economics of how we evolved our year-round offering are really quite unique. DTC operating income was $6.5 million, an operating margin of 18.7%. Strong underlying sales productivity partially was offset by a larger store opening program. We incurred $2.3 million in pre-store opening costs and that relates primarily to rent for locations not yet opened. Excluding these preopening -- pre-store opening costs in both periods, DTC operating margin increased to 25.3% from 21.6%. Unallocated corporate expenses were $36.9 million compared to $25.9 million last year, while unallocated depreciation was $2.1 million compared to $1.5 million. The increase in corporate SG&A was primarily driven by increased investment in marketing including activation ahead of planned, 2019 retail openings and of course incremental spend to support Greater China, which you will recall was not in the cost base at this point last year. Combined this results in a total operating loss of $27.5 million compared to $19.9 million. On a non-IFRS basis, adjusted EBIT was $25.9 million loss compared to a loss of $17.3 million last year. The net loss was $29.4 million or $0.27 per basic and diluted share compared to a loss of $18.7 million or $0.17 a share last year. Adjusted net loss, which excludes $7 million of unamortized cost triggered by the closing of the term loan refinancing in May was $22.8 million or $0.21 per basic and diluted share compared to $16.7 million loss or $0.15 a share last year. As we expected and as we outlined in our guidance assumptions, we had a materially larger loss in the quarter and that was driven by our corporate SG&A growth investments as well as the larger store opening program. I'd also note that the adoption of IFRS 16 the standard for lease accounting is not material to year-over-year comparisons of adjusted earnings. For income statement items where there are more meaningful impacts like depreciation and amortization and interest, I encourage you to look at our table in the MD&A which describes them in detail. Turning to the balance sheet. We ended the quarter with net debt of $494.1 million, which includes $208.7 million of capitalized lease liabilities. Average net debt-to-EBITDAR under IFRS 16 for the trailing 12-month period was 0.9 times or 2 times on a spot basis. Net working capital was $335.6 million reflecting the planned seasonal build of inventory for future growth. We are in a very clean position in market and we're also right where we want to be relative to the coming fall/winter season. This includes a meaningful element of staging for both Greater China and Europe, which is where we are expanding our DTC footprint and there are naturally longer lead times to get products into these geographies compared to North America. So while fiscal 2020 has just started, we're really encouraged by what we've seen so far. The relevance of our brand has never been stronger at this time of the year and we're fully on track operationally with our preparations for the upcoming fall/winter season. We're really excited about what lies ahead and I look forward to updating you on our progress on our next call. Now, I'll turn it back to Dani for some closing remarks.
Dani Reiss: Thank you, Jonathan. As I said before, we were very pleased with our start to the year. I encourage you all to check out Live in the Open our new global ad campaign for our fall/winter season. It features three inspiring stories of artists Aliche Aswini [ph] [indiscernible]; expedition guide and actor, G.I. Jao and the first NHL player Jordin Tootoo, who have all bravely broken new ground and are driven to give back to the people and places who inspire them. The global 3-part series will begin its first leg shortly in Italy, which we're activating ahead of our Milan retail opening. And there's a lot more to come so please stay tuned. And with that, I'll turn it over to the operator to begin our Q&A session.
Operator: Thank you. [Operator Instructions] Your first question comes from Omar Saad from ISI. Your line is open.
Omar Saad: Good morning. Thanks for taking my question. Congrats on the progress. We're a little surprised that China is already 25% of revenue. Can you talk a little bit about where you see that revenue by geography landing in the longer-term with China in mind? And I also wanted to ask about pricing. Anything you're doing in the pricing front given the continued really strong demand for the brand as we look ahead at the future seasons? Thanks.
Jonathan Sinclair: Yeah. Thanks Omar. I think the thing to remember is first of all it's a small revenue quarter and there are significant shifts in timing in Europe and Asia. And on that basis, I wouldn't get too fixated on these percentages being representative. Where these numbers ultimately land is really an output of our strategy not the target in its own right. Now that said and if you look at luxury spending globally, it splits roughly one-third, one-third, one-third between the Americas, Asia and EMEA. Relative to Canada we're in an earlier stage of developing our international markets measured by addressable consumers and luxury apparel spend. They obviously represent larger long-term opportunities. Our international DTC expansion is central to unlocking this potential. Certainly over the long run and as an output of that you would expect sales outside of Canada therefore to grow to larger proportions. That said and as you can see, our Canadian business is also growing really healthily and we feel good about our runway. Canada is also becoming an increasingly important international shopping destination. I think in the end what matters to us is that we continue to grow our top line in all markets including at home and we're a truly global story and we're executing against that. I think when it comes to pricing and as we've said before, we do follow the international pricing matrix. We've been able to take pricing in the mid-single digits and that's something that we don't see changing.
Omar Saad: Thank you.
Operator: Your next question comes from Kate Fitzsimons from RBC Capital Markets. Your line is open.
Kate Fitzsimons: Yes, hi. Good morning guys. My question would be on the outlook for fiscal 2020. You reiterated for 40 basis points of EBIT margin improvement. Any sense of how we should frame the drivers between gross margin and operating expenses? Particularly as we see some of these mix shifts hitting on the gross margin line? And then secondly just on that gross margin if you could just dig in to how you see gross margin evolving this year by channel that would be helpful? Thank you.
Jonathan Sinclair: Okay. I think within the guidance that we've given, which as you can see we're reiterating, now we're looking at EBIT margin expansion of at least 40 basis points. We're looking at revenue growth of at least 20%. We enjoy margins, which are very much -- gross margins very much where they should be over a 12-month period. So if you think about wholesale, last year we closed just a shade over 48.1 very happy with that. That's the sort of place it belongs. Similarly mid-70s is a good place for the DTC margins to be. It's very much in line with the sector and where we believe they should be. And that's -- I've talked before that there's forward momentum tailwinds that come from pricing tailwinds that come from efficiency and positive reinvestment as you've seen here in new product. That's something that we think will continue. I think shape-wise, if you look at last year you'll see that the margin was above where we ended the year in the first half and below in the second. I think you can see it's the other way around this year and I think that's fine. It doesn't alter our perspective on the year at all. I think when it comes to our expenditure we are consciously investing in the business both in capability and in marketing. And we're very clear that ahead of the key seasons, which is typically Q3 and Q4 from a consumer perspective we have -- invest heavily in marketing to make sure that we're ready for the stores as and when they open. And the reaction that we get when we open the new stores and as we develop our existing markets bears testament to that.
Kate Fitzsimons: Great guys. Best of luck.
Jonathan Sinclair: Thank you.
Operator: Your next question comes from Oliver Chen from Cowen & Company. Your line is open.
Oliver Chen: Hi. Thank you. We've definitely noticed a lot of the non-parka innovation across the knits and other categories. What are your thoughts on how you manage breadth versus depth? And also your thoughts on markdowns as there could be a different kind of fashion risk versus the parkas. I would love your longer-term thoughts on brand segmentation as you think about Black Label and international markets and how the brand may evolve as your product assortment broadens. Thank you.
Dani Reiss: Thanks, Oliver. It's Dani. How are you doing? We're really excited about the progress of our new styles and how our off-season contraseasonal styles and spring sales have done this quarter. And they've performed their best ever, and they were 30% of our sales across all channels, which is great. The way we think about it, we are very careful in how we manage our inventory. And as you know, our products are almost never marked down. We have no discount outlet stores and we have no strategy to ever have those, so, unlike most brands. And the way we achieve that is by making sure that we don't make too much stuff. We make the right stuff. We make the right products, the right amount of products. And when it comes to new products, we build the new categories slowly and responsibly, which is why it's great to see this quarter that continuation of that the growth of those categories. And then we go deeper in categories that are stable and where we have tried tested and true classics that we know that endure from season-to-season. And that's how we -- that is how we manage our new styles and that is how we avoid finding ourselves in a situation where we're too deep in styles that we don't want to be. In terms of segmentation and new styles going forward, I mean we're going to continue to diversify. Obviously, it's important to us that we always make styles that are authentic to Canada Goose. And every style we make and every product we make is very important, is a best-in-class product. That's always been something we believed. And that's why our pace of adding new stuff is very thoughtful and measured. Our -- the next -- of course, the categories we are already in, we're going to continue to develop into and design new products into. There's a lot of excitement around footwear. I'm certainly very excited around footwear. I think we really have a tremendous opportunity there. And we are going to make sure that we build it in the right way and do so at the right time. We've announced no timelines at this point. We're working on it diligently. Certainly adding someone like Woody to our team, who has deep experience in footwear, is going to be a really important piece to that puzzle and help us get there at the right time and in the right way.
Operator: Your next question comes from Michael Binetti from Credit Suisse. Your line is open.
Michael Binetti: Hey, guys. Thanks for all the help here and congrats on the quarter. Dani, can I just continue on the footwear? I know you don't want to get too close on timing, but it is the first time you kind of zeroed in on a Canada Goose brand for footwear. Is that something though that we should still not think about this calendar year, more of a long term maybe next winter? And then maybe just how you're initially thinking about the price points that you think your brand can exist at there to help us think about the competitive set and the TAM that you're looking at for that opportunity?
Dani Reiss: Yeah. You're right. We have not yet put out any time line on that, and we're not prepared to do that because we want to -- it's going to be at the right time, like, we'd like to do it as soon as we can, but that doesn't -- your question about next year. No, it's not going to be this year. We have nothing to announce, and there's certainly nothing imminent on the horizon. As I said in my remarks, there are a lot of commercial and strategic work that still has to be done, and it's really important that we don't compromise quality for speed. We are definitely on it. And I look forward to having want to tell you about it when the time is right and that includes price points. And I mean I think that -- you could look at the general profile of our brand and infer from that where our prices will be when it comes to footwear.
Michael Binetti: Got you. Jonathan, could I maybe ask a follow-up on -- a little bit of help on the model. Was there any way you could help us contextualize the size of the wholesale shift? And then also a little more detail on the gross margin question from earlier on DTC in particular. I think you said that it's kind of in an area where it should be, but it was down a bit in the first quarter. You did -- you're pretty helpful in telling us look a lot of this was coming from the success we're having in some of these non-parka categories that carry lower margin. It's a little tough for us to understand how that dynamic plays out. Obviously you'll be selling more parkas as we get into the colder weather. But it seems like those categories should be bigger as a percent of mix each quarter. But if you think the grosses in DTC are about where they should be or implied a flat, it also suggests that one of the quarters needs to go positive to offset the first quarter. I'm just trying to reconcile a few of the comments you made to help us with the modeling. Thank you.
Jonathan Sinclair: Okay. I think the -- thanks, Michael. Taking the wholesale first. We are reiterating guidance. What does that mean? That means in reality that we have as one of our core assumptions in that, that we talk about, high single digits growth this year in wholesale. So, obviously, we're way, way ahead of that in the quarter. And therefore, you will expect that to reverse gradually, as we go through the year. But that's also a function of when customers take their inventory from us. So we'll see how that unfolds, as the years goes on. But as far as I'm concerned, we've made a good start and that's the important part. When it comes to the DTC gross margin, if you look at it over the course of the year, we've always said our gross margins don't and shouldn't move very much in any 12-month period. The fact that we happened to be a little bit lighter this period, with a big proportion of the business, a-third being non-parka allows you to derive sort of a margin mix and you would correctly assume that we will sell a greater proportion of parkas as we come into the colder season and as we move through the year towards Q3 and Q4 which is the peak consumer demand for cold-weather product.
Operator: Your next question comes from Alexandra Walvis from Goldman Sachs. Your line is open.
Rosalie Frazier: Hi. This is Rosalie on behalf of Alex. On tourist spend, you mentioned strong sales on existing stores. I wonder if you've seen any impact at all of softer tourist trends that are impacting some of the other brands, or are you not seeing that?
Dani Reiss: Thanks for the question. We're not seeing that. Were seeing our global tourist business is very strong and our traffic across our end markets and tourists from global tourists. And we're really happy with our ongoing performance of our DTC channel.
Rosalie Frazier: Thank you. 
Operator: Your next question comes from Jonathan Komp from Baird. Your line is open.
Jonathan Komp: Yes. Hi. Thank you. Just wanted to maybe follow up on your outlook for the DTC channel and I know there's some tendency to maybe look at the results relative to the store growth and assume that your DTC business at existing stores and e-commerce might be slowing and I'm just curious as you look to the year ahead and what you've embedded in guidance, how you think about kind of same-store like-for-like growth versus new contribution from the stores you're opening.
Jonathan Sinclair: Yes. I think, we have a good fleet of stores that you're aware we have today, relatively immature stores in the sense that we've only opened stores in the last two, three years and we haven't announced an opening program this year which is greater than we have done in any previous year. So I think from that point of view it's -- we look to the impact of those new stores as being very significant this year, alongside the continued productivity of our existing fleet.
Dani Reiss: Yes. I agree with that. And I'd say that the fact that our DTC sales accelerated to 50% in this our smallest quarter, which is a great leading indicator. And to Jonathan's point, the stores that we're -- the stores and increased e-commerce presence and online presence online presence, is a really exciting prospect for us. And we're really looking forward to a great year.
Jonathan Komp: Okay, great. And then, just for the overall business, when you look at, the year. I'm curious from a geographic standpoint, how you think, or if you have any insight, kind of from a shape perspective, how you expect North America growth versus, Asia and Europe and other countries to play out, when you look over the next few quarters?
Jonathan Sinclair: I think, what you heard from us, here is that, we are enjoying the diversity of growth geographically with growth in every region. Clearly, where you open more stores, in a lot more largely wholesale, base you'll have a disproportionate, impact -- of the impact of the store openings. And on to that point, I like the fact that, we said, we're going to open three stores in Greater China this year. We've announced that, we're opening a store in Milan, a store in Paris. All of those openings are in regions outside of North America. And therefore, you would expect that impact, to be slightly more pronounced.
Dani Reiss: Yeah. I'll just add on to that, to what Jonathan's remarks are. I mean, -- and to the point of what we expect for the rest of the year. And we saw really strong global demand in our first quarter. That was really -- it was very encouraging, continued strong global demand from all geographies. We continue to see that, we're relevant year-round. And as mentioned earlier, the counter seasonal business being so strong, in this quarter was great. And we're excited to see the evolution of that as well. And that really points to the fact that, our manufacturing investments over the past years have paid off. And we're very optimistic about the rest of the year. And about our future for the long-term towards, becoming a $1 billion brand and more.
Operator: And your last question comes from Ike Boruchow from Wells Fargo. Your line is open.
Ike Boruchow: Hey! Good morning, everyone.
Jonathan Sinclair: Good morning.
Ike Boruchow: Two questions, so just to stick with the, the wholesale and the gross margin. I guess Jonathan, is there any chance you can maybe just quantify what that shift was, that you're calling out on that distributor business? Just so we know how to think about wholesale growth for the second quarter, just trying to piece that apart? And then because -- the way you're describing it, which makes sense that it is a lower-margin business. Does that mean that inherently Q2, wholesale gross margins has some tailwind to it? Maybe should even -- should we expect some expansion, based on that sale shift, just trying to understand that dynamic quarter-to-quarter?
Jonathan Sinclair: So I think, the way to look at the health of the first quarter, on the wholesale gross margin, is to consider what the margin looked like the last time. We had a strong distributor mix in Q1. And that's two years ago. And then, the margin was 35%. So you can see that, there is good underlying progression in wholesale gross margin, when you adjust for that mix. I think as we look to the year, as I said before, we are using the signposts of last year's wholesale gross margin, as a good indicator. But I just think, this year, it builds as the year, goes on rather than starts with a head of steam. And therefore you would not expect it to be as high as last year, in this quarter and frankly, or next -- because the compare was way above the full year.
Ike Boruchow: Got it, thanks, Jonathan and just one quick one, is there -- can you give us some guidance on just inventory levels, just so, we know kind of what you guys are baking into your plan, in terms of how inventory should flow, for the remainder of the year?
Jonathan Sinclair: I think when it comes to inventory, -- you've heard both from Dani and me this morning about our approach, to inventory. And why they simply don't line up with revenue trends. I think we are not going to change our strategy, in that we will efficiently build ahead of future growth in manufacturing, where we have a really high degree of confidence. And as we clearly, you'll see some seasonality, because as we get into larger sales quarters in Q2 and Q3. There is -- we're taking in less than, we're shipping out. Now that said if you compare us to other fast-growing seasonal businesses, in this sort of sector. And you adjust for the fact that we're in manufacturing, you also find that our stock turns are pretty much in line.
Dani Reiss: Yeah. I agree completely. I think that, it's important to highlight that our inventory is exactly where we want it to be. And we're not concerned, whatsoever about it. We're really excited with the position of it. And the opportunity it provides for us for the rest of the year and…
Ike Boruchow: Thank you.
Operator: I will now turn the call back over to, Dani Reiss for closing remarks.
Dani Reiss: Great, well, thank you all for your questions. And thank you all for your time, and taking time to be here with us today. We appreciate your interest and support in, Canada Goose. I look forward to updating you on our progress when we report our second quarter results in the second quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.